Operator: Good day, ladies and gentlemen. Welcome to the Yelp Incorporated First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference call may be recorded. I would now like to turn the conference over to Ron Clark. You may begin.
Ronald Clark - Yelp, Inc.: Good afternoon, everyone, and sorry for those technical difficulties. Thanks for joining us on Yelp's first quarter 2017 earnings conference call. Joining me today on the call are CEO, Jeremy Stoppelman; and CFO, Lanny Baker. Our Chief Operating Officer, Jed Nachman, will also join us for Q&A. Before we begin, I'll read our Safe Harbor statement. We'll make certain statements today that are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. In addition, we are subject to a number of risks that may significantly impact our business and financial results. Please refer to our SEC filings, as well as our financial results press release for a more detailed description of the risk factors that may affect our results. During our call today, we'll discuss EBITDA, adjusted EBITDA, and adjusted EBITDA margin, which are non-GAAP financial measures. In our press release issued this afternoon and our fillings with the SEC, each of which are posted on our website, you will find additional disclosures regarding these non-GAAP financial measures as well as the historical reconciliation of GAAP net loss to non-GAAP net income, EBITDA, adjusted EBITDA, and adjusted EBITDA margin. And with that, I'll turn the call over to Jeremy
Jeremy Stoppelman - Yelp, Inc.: Thanks, Ron, and welcome, everyone. In the first quarter of 2017, we grew revenue 24% versus the prior year and more than doubled adjusted EBITDA from the year-ago quarter. We also made strong progress in the initiatives we're pursuing to capture the long-term market opportunity. I'll share an update on some of these as well as discuss an important change to our outlook for the year. The consumer is at the heart of everything we do and, in the first quarter, consumer traffic accelerated across all three channels. App unique devices grew 22% from last year as our focus on product growth, increased usage, and frequency. On both desktop and mobile web, unique visitors grew in the high-single-digits year-to-year. Yelp's unparalleled local content continues to attract new users through search and other channels. Our large and growing monthly usage underscores the Yelp's relevance with consumers and allows us to drive valuable customer leads to businesses. This local mind share with both consumers and business centers led the Food Network to launch a new television series they call, Help My Yelp, centered around Yelp reviews and elite reviewers. In our local ad business, based on what we've seen since the start of the year, we believe the unusual slowdown in the fourth quarter's sales force productivity is behind us. Local sales production has recovered and stabilized at levels consistent with historic averages. Second quarter production is off to a solid start and we're confident in our ability to grow the sales force by a double-digit percentage by year-end. While we're encouraged by the normalization of production in the first quarter, we did see a decline in retention that has impacted our outlook. However, revenue retention improved toward the end of the first quarter and through April. Given the disproportionate impact first quarter performance has on our annual results, we've reduced our outlook for the balance of the year. Lanny will discuss the financial implications in a moment. Outside of this issue, business fundamentals remain strong. National delivered another solid performance growing faster than advertising revenue as we continue to attract large advertisers to our ad platform. We've expanded the national sales force by over 50% from last year, including building a team to focus on ad agency relationships. Another meaningful source of new accounts and revenue is our self-serve channel. We reached record numbers of self-serve advertising starts in each month of the first quarter by signing up more businesses as they create or claim their Yelp pages. We continue to see a strong momentum outside our core advertising business as well. Year-over-year, Eat24 revenue growth accelerated in the first quarter as we ramped marketing in the second half of last year and realized pricing power in the form of higher take rates in the first quarter. Deeper integration with Yelp continues to drive growth for Eat24 and we see lots of room to expand transaction volume. Request-A-Quote volume growth accelerated quarter-on-quarter to nearly 30% and this feature which is barely a year old is now at a run-rate of 10 million requests annually. The surge in Request-A-Quote activity was driven by enhancements like guest messaging, a streamline request flow, and increased visibility across Yelp. We continue to make progress on our monetization. Our tests are already generating significant incremental ad inventory and improving satisfaction for advertisers that receive requests. Yelp Reservations revenue growth also accelerated in the first quarter. We're generating rapid growth in reservation volume and seeing strong momentum in new restaurant additions. Finally, we expanded our business offering in early April with the acquisition of Turnstyle, an innovative Wi-Fi marketing company with nearly 3,500 business locations globally. Turnstyle's easy-to-use gateway allows businesses to offer secure Wi-Fi connectivity to customers while providing valuable customer visit insights to support loyalty marketing. When integrated with Yelp, Turnstyle's technology has the power to provide clear attribution between Yelp advertising, store traffic, and offline purchases. We're excited to welcome the Turnstyle team to Yelp and look forward to integrating and expanding our product offerings. In summary, despite a retention challenge in the first quarter, we continue to build on Yelp's leadership position in local. Yelp's top 20 comScore ranking in March and our accelerating consumer traffic demonstrate that our product and content continues to resonate strongly with consumers. In our core advertising business, local sales force productivity is back to normal and our national and self-serve channels continue to grow rapidly as we begin to unlock their potential. The healthy accelerations in Request-A-Quote and Eat24 activity, as well as the Nowait and Turnstyle acquisitions give us confidence in our ability to capture more of the long-term opportunity. Now, Lanny will take you through the numbers.
Charles C. Baker - Yelp, Inc.: Thank you, Jeremy. I'll add a bit more color to the first quarter results and then turn to discuss our revised business outlook, including the impact of account retention trends, as well as the acquisition of Turnstyle, which occurred in April. First quarter revenue of $197 million was up 24% year-to-year, at the midpoint of our outlook range. Total cost and expenses grew 17% year-to-year, and cash expenses grew 15% year-to-year in the first quarter. Accordingly, our first quarter GAAP net loss improved sharply from a year ago and adjusted EBITDA more than doubled to $29 million in the first quarter, slightly above our expectations. More than 40% of Yelp's year-to-year revenue growth flowed through to improvement in adjusted EBITDA in the first quarter, that's consistent with the incremental margins we've shown since early 2016. Advertising revenue grew 24% year-to-year in the first quarter to $177 million. During the first quarter, we saw a recovery in local sales rep productivity and continued strong growth in the self-serve channel. However, revenue growth across all three primary channels, local, national, and self-serve, decelerated from the prior quarter as well as from the prior year. The biggest factors slowing revenue growth were the carryover effect of soft local sales production in the fourth quarter and lower account retention in early 2017. I want to note that we've adjusted our advertiser account metric to better align with the way we now report advertising revenue. Like ad revenue, the updated advertiser metric, which is called paying advertising accounts, includes businesses, agencies, and partners who purchase to resell the core marketing services provided by Yelp. The new paying advertising accounts metric excludes Yelp Reservation customers who are not paying advertising customers and it includes ad agency and reseller partners just as our ad revenue does. Paying advertiser accounts were approximately 139,000 in the quarter, representing 17% growth over last year, an increase of 4,500 from December 2016 to March 2017. That sequential increase was improved from the fourth quarter of last year but reflects the impact of lower account retention in the first quarter. Going beyond the advertiser account, let me provide some color on our three sales channels. Starting with the channel we call local, which includes revenue generated by our outbound sales teams, revenue in this channel grew at a high-teens rate in the first quarter propelled by year-to-year growth in the number of paying accounts as well as high-single-digit growth in revenue per customer. The national channel, which accounts for just over 20% of total ad revenue, grew revenue in the high-20% range in the first quarter, led by revenue gains among franchise and mid-market customers where we increase the penetration of customers' business locations. The self-serve business continues to be our fastest-growing channel, with year-to-year revenue growth in the 70% range in the first quarter. In addition to the new customer momentum that Jeremy described, we saw double-digit increases in revenue per customer in self-serve again during the first quarter. Let me touch on two additional drivers of our ad business, sales head count and account revenue retention. Total sales employee count was up 11% year-to-year at the end of the first quarter at 2,550 people. We've included revenue-generating local client partner teams in that figure this quarter and we've revised the last two quarters to include that group as well. We've been adding staff to the local client partner team in order to service and upsell existing customers and plan to expand that group further this year. Turning to account and revenue retention, we experienced weaker than expected revenue retention in our local ad business in the first quarter. And those losses early in the year have an outsized impact on our full year revenue outlook. At the start of the year, overall local revenue churn was at the upper end of the range we normally see and we've identified several factors contributing to those trends. The account growth and revenue growth acceleration we saw at the start of 2016 created an echo of contract terminations in the recent quarter. And an uptick in less well-established local businesses within our customer base brought greater account turnover as these business owners typically have a harder time competing with our more well-established advertisers. We've adjusted our business outlook for 2017 to reflect what we saw in the first quarter and to reflect a cautious approach to the remainder of the year. Moving on, transaction revenue grew 25% year-to-year in the first quarter to $18 million. Our drive to make Yelp more transactional is showing progress, with transaction volume on the Yelp site and app growing in excess of 50% year-to-year and now accounting for 30% of our total transaction volume. Although the near-term revenue associated with these interactions is still small, transactional capabilities are driving user engagement and helping business owners see clearer attribution via Yelp, both of which have important long-term value implications for the business. At Eat24, our product and marketing strategy delivered tangible results in the form of reacceleration in revenue growth in the first quarter. We believe we have significant opportunity to drive food order activity within Yelp while also promoting Eat24 via external marketing of its own. Other revenue rose from $1.1 million in the first quarter of 2016 to $2.1 million in the first quarter of 2017, reflecting new data subscriptions and healthy customer growth at Yelp Reservations. The other revenue line will increase in coming quarters with the inclusion of both Nowait and Turnstyle in this line. Shifting to expenses, cost of revenue grew 12% year-over-year to $17 million in the first quarter. And the first quarter's gross margin of 91.4% is roughly 1 point higher than the first quarter of 2016. Sales and marketing expenses grew 14% year-over-year to $109 million in the first quarter. Sales and marketing expenses were equivalent to 55.4% of total revenue in the first quarter, down almost five percentage points from the first quarter of 2016. Relative to the fourth quarter and even the full year of 2016, sales and marketing as a percentage of revenue ticked upward in the first quarter. Higher salaries and greater commissions paid to our sales force and an increase in marketing investment, particularly in performance marketing, drove the increase in this expense category relative to revenue. Product development expenses grew 24% year-to-year to $40 million in the first quarter. That increase reflects hiring that's helped expand Yelp's engineering capacity. General and administrative expenses grew 21% year-to-year to $26 million in the first quarter. And although our first quarter G&A and expense was in line with the levels of the prior six months, G&A expenses were up about $5 million year-to-year. $2 million of that increase reflects higher cash and stock compensation costs and a similar amount came from bad debt expense. Depreciation and amortization was $10.2 million in the first quarter of 2017 compared to $8.2 million in the first quarter a year ago. Our first quarter operating income loss was $5.2 million compared to a loss of $14.3 million in the first quarter of 2016. GAAP net loss for the first quarter was $4.8 million which is $0.06 per share, compared to a net loss of $15.5 million or $0.20 per share in the first quarter of 2016. As presented in our financial statements and in the notes in today's press release, EBITDA for the first quarter was $5 million in the first quarter of 2017 compared to an EBITDA loss of $6 million in the same quarter of 2016. Stock-based compensation expense was $24 million in the first quarter of 2017 compared to $19 million in the first quarter of 2016 and adjusted EBITDA was $29 million in the first quarter of 2017 compared to $13 million in the first quarter of 2016. Yelp's overall adjusted EBITDA margin was $14.8 million in the first quarter, up from $8.2 million in first quarter last year. We ended the first quarter with cash, cash equivalents, and investments of $504 million, up $7 million from the beginning of 2017. Cash flow from operations was $41 million in the first quarter. Capital expenditures on hardware and development were $7 million and we spent $31 million on the acquisition of Nowait, net of cash, received in that transaction. Now, turning to the business outlook. Based on the results of the first quarter, our experience with account retention at the start of the year and the acquisition of Turnstyle at the start of the second quarter, we're updating our business outlook for 2017. We now anticipate full-year 2017 revenue will be in the range of $850 million to $865 million with the midpoint of that range representing 20% growth over full-year 2016. Based on that revenue outlook, we're also updating our full-year adjusted EBITDA to a range of $130 million to $145 million which equates to growth of 15% over 2016 adjusted EBITDA at the midpoint. The primary factor within the change in business outlook is the local revenue challenge we experienced in the first quarter. We believe local sales rep productivity will continue to trend favorably compared to the fourth quarter of last year, and we expect to continue to grow the self-serve channel strongly in 2017 and beyond. The revised outlook contemplates some improvement in account retention as we move beyond the first quarter into the rest of the year. However, we are taking a cautious approach with the outlook for 2017. Retention improvements from here forward will be expected to have a bigger impact on 2018 than they will within the current year. On adjusted EBITDA side, we've reevaluated the timing of certain investment spending plans in light of the new revenue view. And separately, we expect Turnstyle to contribute a very modest amount of revenue in 2017. And our revised business outlook presented today includes a mid-single-digit $1 million reduction to full-year adjusted EBITDA related to the acquisition of Turnstyle and our investment in that business. For the second quarter of 2017, our business outlook is for revenue between $202 million and $206 million and adjusted EBITDA of $32 million to $35 million. At the midpoint of those ranges, our second quarter outlook represents year-to-year revenue growth of 18% and adjusted EBITDA growth of 19% from the second quarter of 2016 results. A couple of additional pieces for the outlook. We anticipate depreciation and amortization will be equal to 5% to 5.5% of revenue in both the second quarter and the full year. Stock-based compensation expense is expected to be in the range of $26 million to $27 million in the second quarter and $105 million to $107 million for the full year. Finally, we anticipate that the number of primary shares outstanding will be in a range of 80 million to 82 million for the second quarter and 81 million to 84 million for the full year of 2017. Yelp is a leader in local, and we're not pleased with our outlook for the year and the change that we've just made. But my view of the long term opportunity remains unchanged. Our strong traffic numbers show that Yelp is more relevant to consumers today than it's ever been. The financial growth opportunities in front of us continue to look very attractive and we believe we're making smart investments in marketing and new products to build for the future. As we've shown on the user front and sales productivity over the last quarter, we have a team that knows how to pull the levers that drive performance. We remain confident about capturing the enormous opportunity ahead. And with that, we'd like to open the line for questions.
Operator: Thank you. Our first question comes from the line of Douglas Anmuth of JPMorgan. Your line is now open.
Douglas T. Anmuth - JPMorgan Securities LLC: Thanks for taking my question. Lanny, I was hoping you could just help us understand more around the retention issue just how it happened in 1Q kind of rolls through and plays out through 2017? And then if you could provide a little bit more commentary on your – just around your comments that you said things have gotten somewhat better there more recently in terms of retention and really more about what you're doing to address the issue? Thanks.
Charles C. Baker - Yelp, Inc.: Sure, Doug. Let me have Jed start out to talk about . (19:40)
Jed Nachman - Yelp, Inc.: Sure, absolutely. So we recognized the churn issue about halfway through the quarter and we're able to tie it back actually to a distinct cohort of advertisers that came on Yelp about a year ago as we're making the transition from CPM to CPC. We saw that there were different retention characteristics amongst that cohort, more emerging businesses on Yelp that had trouble competing in the ad system with some of the more established businesses. It was all hands on deck, obviously, at that point, and we put a team in place to focus on that particular cohort and that particular profile. And we're able to really course-correct in a pretty short period of time and saw progressively better results as we got into March and particularly in April. Lanny, I'll let you kind of talk about it.
Charles C. Baker - Yelp, Inc.: Sure. And the way the business works is that retention has a big impact over the course of the forward 12-month period. And when retention is weaker than anticipated at the start of the year, those are missing revenues sort of in the plan for the rest of the year. We exited the quarter with a smaller core book of business than we anticipated because the retention had been worse during the first quarter. As Jed said, it got better toward the end of the quarter, and coming out of the quarter looks very encouraging. But we're going to be cautious about that and stay focused on it as we wait the rest of this year.
Douglas T. Anmuth - JPMorgan Securities LLC: And just as a follow-up, can you just confirm on your old methodology in terms of LAAs with that number of 5,200 instead of kind of what you're reporting in the new methodology?
Charles C. Baker - Yelp, Inc.: The old number – the new metric is 139,000, which is up 17% year-over-year. The prior number was 143,000, up 18% year-over-year. I think the quarter-over-quarter difference is just about the same between the two metrics. And the difference between the two is sort of moving Yelp Reservation customers that were in the old metric, but not advertisers out and moving a small number of reseller relationships that were not in that line previously into the count.
Douglas T. Anmuth - JPMorgan Securities LLC: Thank you.
Operator: Thank you. Our next question comes from the line of Mark May of Citi. Your line is now open.
Mark A. May - Citigroup Global Markets, Inc.: Hi. Hopefully you can hear me and I apologize if this question is already been taken. Sales force head count has been relatively slow. The growth in the sales force head count the last couple of quarters, I'm showing 11% year-on-year. Can you talk a little bit about the dynamic that sort of driving that slowdown and what you expect over the foreseeable future? Thanks.
Charles C. Baker - Yelp, Inc.: Yeah. I would say from – one thing to keep in mind is that a year ago, at this time, we had people on the streets overseas in international markets. And that is probably a 4 to 5 percentage point penalty on what you're seeing right now. So, it looks like 11%. I think the core engine of Yelp production is actually a little bit bigger. Jed, do you want to add any color on recruiting sort of as it lays out as we head into stronger season?
Jed Nachman - Yelp, Inc.: Sure. I mean, Q1 was right in line with what we had expected on the plan in terms of both retention as well as recruiting. Clearly, we're coming into the summer months right now where we do a lot of our hiring with new college grads, and that pipeline looks really strong going into the year. And we'll look at opportunistic opportunities kind of accelerate where we can, although we feel really comfortable about that double-digit growth throughout 2017.
Mark A. May - Citigroup Global Markets, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Nowak of Morgan Stanley. Your line is now open.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my questions. I have two. Just the first one on the sales force. I think in the fourth quarter you had flagged some sales force productivity challenges and then the first quarter had some challenges. Can you just talk about how you think about maybe changing the sales force go-to-market and kind of the main pitch to bring more advertisers on the platform or make them stickier? And then secondly, Lanny, you talked about kind of the investment initiatives throughout the course of this year. Can you just sort of rank order for us the top one, two, or three areas where you really are choosing to invest dollars this year to drive faster growth? Thanks.
Jed Nachman - Yelp, Inc.: Sure, I can take the first question. In terms of our go-to-market strategy and, ultimately, we're not happy with either what happened in the fourth quarter on the sales productivity side nor what happened on the churn bump during January and February of the first quarter. And yet the fundamentals kind of remain strong in terms of the production that we're seeing out of the sales force. I do think there are opportunities to expand our go-to-market strategy, a lot of which we've talking about over the past few quarters. And so, self-serve being one of them and we continue to kind of accelerate on the self-serve side. I think sequentially, this quarter, we originated a record number of new advertiser accounts in each month of the first quarter and that was largely due to converting newly claimed businesses to self-serve advertisers. So, continue to see a lot of progress on the self-serve side. And then there's other channels like obviously national and then within national kind of working with partners on the channel sales side, as well as the agency side. So, certainly, we want to diversify our go-to-market strategy, although the core strategy in what we're doing with our local reps – still the story remains intact and we're not seeing any degradation outside of kind of the two bumps that we saw. Both of which we believe – or one of which is already fixed and the other one is really encouraging.
Charles C. Baker - Yelp, Inc.: Yeah. In terms of investment priorities, I would say the most dynamic area of investment activity is definitely product. The resources that we're putting behind the Yelp app, behind integrating more transactional experiences which Jeremy talked about the growth of Request-A-Quote, when we add those connections between the app and businesses, consumers really take to them very, very quickly. In Turnstyle, it's an exciting way to add a whole loyalty component that we can add from a product perspective. So, product is the most dynamic area, it's not necessarily the biggest dollars, but it is the area where, over the long term, I think the biggest return and those are kind of, I'd say, our most important set of investments. Behind that are marketing investments, this year we've dialed down the investment on brands to dial up the investment into performance marketing. It's a relatively new area, a new frontier for us. We're getting our legs underneath ourselves and building muscle there. And those dollars are a big increase year-over-year in the performance marketing dollars. They're probably a little bit more predictable in the near-term than the product investments are. And then the last area is going to be investing in our sales force. Adding sales force, as Jed talked about, growing that team, putting additional resources into account management and local client partner to address and sort of further ourselves on the retention front and then investing behind self-serve. So we think about in those order. The sales investments tend to be a little bit more predictable, the product investments are a little bit more of a – when you hit one big, they're really, really exciting, but you have to kind of be in that game to do it.
Brian Nowak - Morgan Stanley & Co. LLC: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Mark Mahaney of RBC. Your line is now open.
Mark Mahaney - RBC Capital Markets LLC: Great. Thanks. Two questions, please. On performance marketing – and I'm sorry if you've already covered this, but what you've sensed so far, what learnings you've had from your performance marketing benefits? And then, did you talk about monetization or your thoughts on the timing or the scope of monetization for Request-A-Quote. I know you talked about leads but if there's any new update on your thinking of the monetization ramp for Request-A-Quote? Thank you.
Charles C. Baker - Yelp, Inc.: Hey, Mark. On the performance marketing front, I said just a second ago, we're building muscle there I think pretty quickly and have seen – we spent quite a bit more in the first quarter than we did last year or than we did in the fourth quarter last year. We like the returns that we're starting to see. We saw really good results at Eat24, especially in our target markets. We picked a couple markets in New York and San Francisco and that contributed to the acceleration that we've seen there. On the mobile app user front, it's an area where we've been starting to spend some money. I'll tell you that the vast, vast majority of mobile app users and our growth there is going to come from organic product initiatives rather than pay-for-performance marketing. That being said, we're running up 2x versus last year on paid mobile app install acquisition. And then, we are seeing the small numbers right now but we're also putting some dollars behind lead gen amongst business owners to drive Yelp Reservations, to drive Nowait, to drive self-serve, very small numbers right now but numbers are growing quickly. So, we feel good about it. It's early innings for Yelp.
Jeremy Stoppelman - Yelp, Inc.: And to your other question – this is Jeremy – Request-A-Quote, we continue to be really encouraged by the volume and the growth that we're seeing. We're up 30% quarter-over-quarter. In terms of Request-A-Quote volume, it's looking right now like a 10 million quote request run rate. And so just – there's a ton of value to be harvested there. Right now, what we're doing is using a minority of it as ad inventory because it's obviously very valuable in the home and local category. And that business is already a $200 million business for us. So, it's big where we also have 1 million of reviewed businesses in that category in 10 million reviews. So we're already tapping into that as a point of opportunity and monetization. But there's still experiments to be done where we can perhaps sell it as an individual product and other things coming later in the year and on into 2018. So, definitely a very exciting area for us, particularly on the monetization front.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Jeremy. Thank you, Lanny.
Operator: Thank you. Our next question comes from the line of Ron Josey of JMP Securities. Your line is now open.
Shweta Khajuria - JMP Securities LLC: Hi, this is Shweta for Ron. Could you talk – just following up on the app engagement growth – could you talk about the organic product initiatives that you're taking that is helping drive the growth? In the past you've mentioned in-app messaging and some social and search features. It'd be great to get some more insight. Thanks.
Jeremy Stoppelman - Yelp, Inc.: Yeah. This is Jeremy. So we're seeing really strong growth across all of our platforms, particularly app being kind of the primary one of about 22%. But also we're seeing desktop and mobile web showing growth as well, and so we're very encouraged by that. I think it speaks to the quality of our content, the fact that it's more relevant to consumers than ever before. But then there's also specific efforts that our product and engineering teams have put forth that have borne fruit, whether it's driving users from web to app and converting them to app users which have higher engagement levels, or leveraging technologies like machine learning to notify users of hot new businesses that are going to be particularly relevant to them, so completely personalized and driving them back into the app. And so, all of those initiatives have been coming together to result in accelerated user growth.
Shweta Khajuria - JMP Securities LLC: Great. Thank you.
Jeremy Stoppelman - Yelp, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Lloyd Walmsley of Deutsche Bank. Your line is now open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. Two, if I can. First, just like digging into some of the attrition issues and the fixes you guys have put in place. Is that mostly a function of just the specific cohort in 1Q is different from how you acquired your customers for the rest of the year or is it more a function of fixes you've made to people coming in from those sort of channels you feel like are sustainable? Any color you can give there would be helpful. And then the second one would just be looking at the national. I think you said you grew the sales team 50%, and you're making deeper penetration of the accounts there, and yet growth is only, I think, you said in the mid-20s. It seems like it should be faster. It's a pretty nascent category. So wondering what you're seeing there that could either accelerate growth or that's holding you back on the national side?
Jed Nachman - Yelp, Inc.: Sure. This is Jed. I'll take that, Lloyd. So, specifically as it relates to the retention issue, it was concentrated obviously in a cohort that surfaced around the beginning of last year. When we made the transition from CPM to CPC, there was certainly a learning curve in terms of how people sold the product. And there were, in fact, some other pockets of folks that we couldn't approach before just based on the product that folks went out and kind of got right, initially, when the CPC product was released. We recognize that and upstream have put things in place in order to make sure that our sales reps upstream were calling on the right clients. And we addressed this kind of acute problem in January and February. We put this recovery team on higher response rates, put a lot of focus on that particular cohort and the numbers have kind of spoken for themselves as we've gotten into March and April. So, we're feeling comfortable about where we are there. I guess taking a step back on the retention issue, we've been really focused on account retention and revenue retention for the better part of last year. It's a multi-pronged approach, product, marketing, upstream sales efforts, customer success. And we also think there are some opportunities related to retention with Request-A-Quote, some predictive churn modeling that we're doing and using machine learning to identify kind of the highest value sales target. So, we do believe it was a one-time thing. We've kind of cycled through all of those aberrant small businesses within that cohort. In terms of the national business, we've added about 100 heads to that team since this time last. And I'm actually really pleased with the progress we're making. They are longer sales cycles in the national team and longer ramp-up periods for our sales reps. So you don't see kind of the immediate impact that you might see on the local channel. We're really encouraged by channel partner within that segment as well as the kind of the agency channel that we're building, but that takes a little while to educate the marketplace. And I guess I would finish with we're starting to see real movement from existing clients that we're able to grow once they become part of the Yelp ecosystem. And that has a cycle as well, making sure that the folks feel comfortable with what they're getting on an initial test pilot and kind of following that through to a renewal period, so.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: All right. Thanks.
Operator: Thank you. Our next question comes from the line of Kip Paulson of Cantor Fitzgerald. Your line is now open.
Kip Paulson - Cantor Fitzgerald Securities: Hi. Thanks for taking my question. Just a couple for me. Local advertising accounts increased 5,000 in the quarter. Could you help us with the ins and outs in those local ad count additions? How should we think about core SMB additions versus the impacts from national and self-serve channels and were there any one-timers in the quarter? And how should we think about that going forward? Thanks.
Charles C. Baker - Yelp, Inc.: Sure. There weren't any big notable one-timers to really talk about. The self-serve channel has become a bigger driver of total ads there. And it's – we're now at a place where self-serve is kind of crossing into a double digit percentage of that business but when we look at its contribution to the growth, it's contributing at twice that rate. It's really become a key source of account growth for us. With the productivity bounce-back that we saw on the sales rep side, we had good strong adds on that front, too. So, I hope – and then there was the retention issues that we already talked about. And that kind of nets all out to the three pieces here. I'd say, there was sort of one-time thing, it was a little bit – it was higher account retention challenges that brought down the number from what we would normally try to shoot for.
Kip Paulson - Cantor Fitzgerald Securities: Okay. Great. And then just one follow-up if I could, given your recent push into direct marketing, are you seeing the new business customers that you hope to attract?
Charles C. Baker - Yelp, Inc.: It's super early days. I mean, the numbers that we're talking about I think that the organic power of the Yelp Claim Your Business page as a lead-in for our self-serve channel is so strong that it's going to take quite a while for our – for any kind of marketing channel to catch up to the sort of organic attraction that we're seeing through that, through claim and the self-serve. But the growth there on the paid side is really strong, it's small numbers, as I said, but it's encouraging.
Kip Paulson - Cantor Fitzgerald Securities: All right, great. Thank you.
Operator: Thank you. Our next question comes from the line of Heath Terry of Goldman Sachs. Your line is now open.
Heath Terry - Goldman Sachs & Co.: Great. Thanks. I'm just wondering if you could just give us a sense. Seeing the recovery in desktop traffic as well as the reacceleration in mobile, what's the best way to think about what drove that this quarter, is that something that you think you'll be able to continue to lever in coming quarters? And to the extent that, we, obviously, have the issues that you've talked about in terms of the sales force and monetization this quarter, competitively are you running into any of the other major platforms that have been highlighting local as a priority, Facebook being sort of the obvious one that seems to be focused on the area?
Jeremy Stoppelman - Yelp, Inc.: Thanks for the question, Heath. So, looking at growth across app, desktop, and mobile web, with app, we're just kind of – we're continuing to see really strong trends there. Part of that, I think, was really driven by a lot of great product and engineering work essentially to drive users back to the app and also create better yield from – for instance, users dropping onto the mobile web that maybe don't have the app yet. On the desktop unique and mobile web unique numbers, those are going to be more driven by what happens in the SEO landscape. And there were a number of quality improvements that we understand were released over the course of the quarter. We, obviously, have really strong content, really strong images, users tend to stick around. All those things should be correlated with better performance to the extent that there is a quality update out there, and so we're encouraged by that. Not necessarily something that we have a ton of control over, but the app side of it, we do have a lot more control and we saw even stronger performance there. And then on your other question around, is there a competitive thing going on on the sales side? I would say, we really haven't seen a change in the landscape whatsoever. As you've heard, Lanny and Jed talk a little bit about some of the cohort stuff and the mix of advertisers that were there, but the conversations that we're having on the phones every day really haven't changed in tone. And it's really about educating businesses about our products and getting them excited about Yelp. And there's actually very few products out there that have a user at that point of decision-making that we have. We're really in the core of that funnel. Our consumers are – there's a lot of them out there and they're ready to transact, and so we continue be able to deliver that message effectively. And I think that's also reflected, frankly, by looking at sales force productivity getting back in line suggests that there's sort of nothing competitively that's new.
Heath Terry - Goldman Sachs & Co.: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Deepak Mathivanan of Barclays. Your line is now open.
Unknown Speaker: Hi, this is (40:44) dialing in for Deepak. Thanks for taking my question. I guess just to follow-up on a previous question. In terms of Request-A-Quote, I was just wondering are you baking any kind of revenue into your 2Q and full-year guidance from Request-A-Quote. Thank you.
Charles C. Baker - Yelp, Inc.: No, not at this stage. As Jeremy said, it's in sort of a little bit of a test for a little while as advertising inventory, but it's not – we're not at a place where we've yet sort of put a full plan behind Request-A-Quote as product line.
Operator: Thank you. Our next question comes from the line of Justin Post from Bank of America. Your line is now open.
Ryan Goodman - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the question. This is Ryan Goodman. Just two questions for you. One, back on the sales force productivity issues, it sounds like things are a little bit better now than they were in 4Q. Could you just talk a little bit about what you're seeing that gives you more – gives you the comfort that things have sort of stabilized there in terms of productivity?
Jed Nachman - Yelp, Inc.: Sure. This is Jed speaking. Thanks for the question. Really we saw it after we got back from Christmas break; it was pretty immediate that production got back on track. And that can be a combination of folks who didn't think that they could get to where they wanted to be in the fourth quarter and came in really hot during the first quarter. And we're really happy with that production as we saw throughout Q1. We're not standing still. I mean, I don't think the goal is to just get back to normal productivity levels. We think there's a lot of room to grow in terms of what we can do and getting our reps on a per-rep-per-day basis more productive. You think about things like machine learning that we're starting to experiment with right now on determining what are the best accounts for us to go after, both on the front end in terms of what are most likely to close, as well as what are going to be kind of highest retaining customers for Yelp over the long-term. And so, we're fighting that battle every single day. At any given time, we're going to have four to five pilots go and testing different go-to-market strategies, product pricing, packaging. And so, I don't think this is a – we're really happy with staying static on the rep productivity side, and we would hope that we can make improvements into the future.
Ryan Goodman - Bank of America Merrill Lynch: Okay. Got it. Thank you. And then just other question. You guys have a couple of smaller acquisitions now under your belt for the year. So, just curious what the mindset is there going forward, what the appetite is for similar deals going forward. Thanks.
Charles C. Baker - Yelp, Inc.: Sure. Well, we're fortunate to have $500 million of cash in the balance sheet thanks to the capitalization of the company and the cash that we've generated. I think as we think about acquisitions, the priority – the screen is pretty simple; it's user growth, it's deepening engagement, and it's boosting monetization. And when you look at Nowait, we made a small initial investment to test our thesis and then we bought the business. And that's I think one where we're going to be looking for user growth, we're going to looking for deeper engagement, and we're going to – also going to be looking for monetization, it's a subscription revenue stream against a growing a number of establishments. Turnstyle was a $20 million investment – acquisition, and this is one that really extends the Yelp offering for our business customers, giving them a secure way to offer a great convenience to their customers. And then on the back of that, (44:04) loyalty marketing type programs and great data you can capture about in-store activities. So, Turnstyle looks – is our screen, it's about user growth and also about boosting monetization. So, it's a constant balance between building things ourselves like Request-A-Quote, building integrations between acquisitions we are doing and have done like we're having some real strong success right now with Eat24 as we baked that ordering service deeper and deeper into the native Yelp application. And then acquiring companies throughout their innovating in important product categories that we can – both onto the business and get user growth, get engagement, and get monetization from.
Ryan Goodman - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Thanks you. And our next question comes from the line of Aaron Kessler of Raymond James. Your line is now open.
Aaron M. Kessler - Raymond James & Associates, Inc.: Great. Thanks. Couple of questions. Back to retention, can you just maybe talk a little bit about retention by vertical? Any trends you're noticing there that stand out? Also just, if you can talk about your efforts kind of closing the loop also with advertising? Maybe showing them the ROI and some of the initiatives you're taking there. Thank you.
Jed Nachman - Yelp, Inc.: Sure, Aaron. I can take a stab at it and, Lanny, if you want to jump in. This is Jed. In terms of retention trends by vertical, we haven't seen any real patterns that say one vertical is a lot stronger than others in terms of general account retention or revenue retention. That being said, certainly when you look at our transactions efforts and – in the food space with Nowait, with Yelp Res, and with Eat24, certainly we want those to be revenue-generating lines in and of themselves but you also have this attribution component that as we start to get more volumes through those channels, you can kind of tie it back to the restaurant category. Certainly then you look at – and so, that kind of takes care of that restaurant category. You then look at home services where we have a ton of traction and then tie in Request-A-Quote to that. You can already see sprouts of green for folks who are getting a bunch of requests coming through, that they're happier clients in general when we're able to go drive them more leads. And so the question will become not only how do we go monetize Request-A-Quote specifically but how did that go play into the retention aspects of those particular clients.
Aaron M. Kessler - Raymond James & Associates, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Sam Kemp of Piper Jaffray. Your line is now open.
Samuel James Kemp - Piper Jaffray & Co.: Great. Thanks for taking my question. Maybe a follow-on to the retention questions. You said that there are larger advertisers that are impairing the ability of smaller advertisers to gain traction within Yelp. I guess when you say larger advertisers, do you mean advertisers who have been on the platform longer or are you specifically calling out the national accounts impacting that? And then second on the home and local segment, can you just break out within that how large home services is? Thanks.
Jeremy Stoppelman - Yelp, Inc.: This is Jeremy. I'll take the questions here. So when we said – when we're talking about advertisers, I think what you meant is we were talking about more engaged, less engaged, with more engaged advertisers having some advantage in essentially getting a higher ROI. So if you think about having more photo content, having more descriptive information about your business, having more review content, then in general that's going to appeal to consumers in a stronger way than maybe some business that just set up shop and has very little content on their page. And so, the higher ROI fundamentally that that engaged advertiser is getting is going to lead to, over the long-term, better retention. And so that's something that we've seen in our local advertising world, is that certainly businesses that do well generally tend to do even better when they become advertisers. And I think that's something that makes intuitive sense, and it's just a reality I think of being in the local business landscape. On the home and local side, you're asking for a little bit more color about our business there. On the local ad front, we're seeing about $200 million in annual revenue these days. And we have 1 million reviewed businesses, 10 million reviews in that category. So it's already a significant category for us, but we are encouraged by Request-A-Quote and its growth generating significant additional inventory. And then, we have a variety of different ways that we may monetize it, the most obvious being, we can add it to local ad inventory. So that's a lot of new inventory that's opening up as a result already.
Samuel James Kemp - Piper Jaffray & Co.: So should we think of that vertical as being mostly dedicated towards home service professionals like plumbers and roofers, et cetera?
Jeremy Stoppelman - Yelp, Inc.: Yeah, the category where we've really seen it take off is exactly as you're describing, those home and local services. So, roofing, general contractors, plumbing, all of those types of things, moving, et cetera.
Operator: Thank you. Our next question comes from the line of Tom Champion of Cowen. Your line is now open.
Thomas Champion - Cowen & Co. LLC: Hi. Good afternoon. Thank you. Given the recent transaction announcement, I'm curious if your view of the competitive environment in home services has changed at all and whether it might cause you to front-load some R&D if a more formidable competitor is emerging. Thank you.
Jeremy Stoppelman - Yelp, Inc.: Certainly, we've taken note and are aware of what you're talking about. Yet when we look at our business, we feel like we're already a really big player and a fast-growing one with 30% quarter-over-quarter growth in our quote business. And so while it's early days for us in figuring out the Request-A-Quote monetization side, we already have a really strong ad product that does meaningful revenue which we just highlighted. And so, we're going to continue to build out both the local ad functionality as well as the Request-A-Quote functionality which is resonating so strongly with consumers.
Charles C. Baker - Yelp, Inc.: It's a category in which – that's interesting. Yelp has an advantage in the restaurant presence that we have. It's such a high velocity consumer category that it brings people back to Yelp over and over and over. And that's what helps us get 1 million reviewed businesses in the home and local services where people aren't buying those services very frequently. They're one, or two, or three times a year but it's the repeat uses of Yelp that brings people into writing reviews on those businesses. And when we look at the total volume of reviews that we have across those categories, we start from a really strong position in terms of what consumers have given us in terms of content in that marketplace. And I think there's a lot of people who are looking at that opportunity. As you know, it's hundreds of billions of dollars market and we've got a really small revenue stream there today that we see great potential for in the long-term.
Thomas Champion - Cowen & Co. LLC: Thank you.
Operator: Thank you. And our next question comes from the line of Brian Fitzgerald with Jefferies. Your line is now open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. I cut out for a second on that last question, so forgive me if this was asked. But it's around Request-A-Quote. And I think you've talked to being able to having price elasticity there as leverage in terms of increasing prices. It doesn't sound like you've really exercised that yet. Is it still kind of driving adoption of that format, getting more people to use it, and then as it matures, you'll start to exercise pricing leverage? Or is there anything that needs to be built into the product in order to start exercising that pricing leverage?
Jeremy Stoppelman - Yelp, Inc.: Thanks for the question, Brian. The first and foremost aspect of it is does it work for consumers? And so that's really where we started is driving adoption, and I think we're seeing that bear out with 30% quarter-over-quarter growth in quote requests. I think that says, hey, this is really working for them. But then it ties back to businesses and business response rates. And so, as lots of quote requests are coming out, more and more businesses are becoming engaged, and so we think that's a really great thing. So, those aspects, even before you touch monetization, are really helpful in the overall Yelp ecosystem. That said, we started experimenting with monetization. We're using it currently as a portion of that traffic as ad inventory, and what we've seen so far is that that works very nicely. We've seen some positive benefits on the potential retention characteristics associated with businesses that receive quote requests, and so I think that's really promising. And then there's other ways that we will be experimenting with monetization. We could charge on a per-lead basis. It's not something that we've launched to-date but there's just a whole host of options. We know that this inventory is extremely valuable, and we're seeing an increasing amount of it. And we're seeing high satisfaction from consumers.
Brian P. Fitzgerald - Jefferies LLC: Great.
Operator: Thank you. Our next question comes from the line of Jason Helfstein of Oppenheimer. Your line is now open.
Jason Helfstein - Oppenheimer & Co., Inc.: Thanks. Just want to dig a little bit deeper into the CPM versus CPC and that kind of what happened? So is basically the point that you had advertisers who were encouraged to move to CPC and didn't have, let's say, the level of sophistication to use it properly. And then as a result, they didn't get good results. And so, in fact, they didn't renew, and the corollary would be Yelp – I'm sorry – would be Zillow where effectively they'd focused their business now on the highest value customers and really concentrating them with the best tools and really pushing price. So if that's like a far end to the extreme where it's about a multi-thousand dollar commission on $150,000, $200,000 home, can you help us understand kind of how do you address this? Is this about simplifying the product for some advertisers? Is it about giving them better tools to understand the conversion of the transaction? Thank you.
Charles C. Baker - Yelp, Inc.: Yeah. And let me just start out by saying, I don't think the comparison to us sort of climbing our way into just sort of tip-top of the market is really an apt one because the industry that you referenced is a dynamic in which there's a very small number of participants who extract the vast, vast majority of the economics from that industry. That's not the case across the full breadth of services in health, and auto and restaurants, and everything else that Yelp retail – there isn't quite that same sort of very narrow economic wealth within our customer set. So, I don't think that's really what's going on here at all. I'll let you guys talked about the transition.
Jeremy Stoppelman - Yelp, Inc.: Yeah. The other thing to touch on is as we moved from CPM to CPC, it opened up a variety of leads that weren't available prior to that. And so, of course the sales force went after it. And that slightly changed our mix of advertisers as far as how many are engaged at each different level. And so, that then shows up as all of those folks come off their term a year later. And so, that's what we're seeing. The sales force did normalize over time as they got used to the CPC product and the opportunities were more consistent month over month. And so, we believe that effect goes away, but there was a transitional thing that happened there.
Operator: Thank you. Our next question comes from the line of Peter Stabler of Wells Fargo Securities. Your line is now open.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks for taking the questions. Two brief ones for me. Can you give us a sense on Request-A-Quote? How many leads on average are going out per job? And then secondly, I could have missed it, but I didn't see any mention of the repeat rate, and I was just wondering if you retired that metric. Thank you.
Charles C. Baker - Yelp, Inc.: Repeat rate there was 78% in the quarter.
Jeremy Stoppelman - Yelp, Inc.: As with Request-A-Quote, per request, it's approximate somewhere in just under four I believe, like around four leads per job.
Peter C. Stabler - Wells Fargo Securities LLC: Thank you.
Operator: Thank you. Our next question will be from the line of Kerry Rice of Needham. Your line is now open.
Kerry Rice - Needham & Co. LLC: Thanks a lot. Maybe one more on the retention. I know last year, in Q1, you added quite a number of new paying advertising accounts. And if I remember correctly, I thought that you had some additional promotional activity in the Q1 of last year. And so, I didn't know if that's also related to maybe attracting some new customers to switch to CPC or move to CPC. And so, that promotional activity is what kind of set up that cohort. And maybe if you can answer if there's any additional promotional activity in Q1 of this year. And then my second question is just on ARPU. It did grow year-over-year, but it looked like it was sequentially down at least by my calculation for the first time. Was there any mix? Is that seasonality? Anything you would call out on maybe some downward pressure on ARPU? Thank you.
Jed Nachman - Yelp, Inc.: Sure. I'll take the first part on the promotional. I think last year in Q1, the vast majority of our promotional activity took place within the self-serve channel. And so, a lot of that – I wouldn't call that the issue that has reared its head in the first quarter of this year. We continually kind of experiment on the promotional side, largely within the self-serve channel, but we feel we're in a pretty comfortable place in terms of what we're doing. And I wouldn't pin the stuff that was happening in January and February on last year's promotional activity.
Kerry Rice - Needham & Co. LLC: Okay.
Charles C. Baker - Yelp, Inc.: And I think the impact on sort of small, depending on how you measure it, a mid-quarter, end of quarter ARPU is more a reflection of mix than it is any changes in ARPU in any one of the individual channels. The mix dynamic being the local and self-serve being pretty comparable and then the national channel being bigger, and with the rapid growth we're having in self-serve that's having a little bit of an effect on the quarter-over-quarter ARPU.
Kerry Rice - Needham & Co. LLC: Thank you.
Operator: Thank you. And our final question comes from the line of Brad Erickson of Pacific Crest. Your line is now open.
Brad D. Erickson - Pacific Crest Securities: Hi. Thanks. Just have one quick follow-up. Just on the self-serve. Still growing very fast but, obviously, decelerated somewhat quarter-over-quarter. Just curious if that's – I guess, how much of that is attributable within the revised fiscal year outlook and then sort of what's driving some of that deceleration from your perspective?
Charles C. Baker - Yelp, Inc.: I think the revenue deceleration is the same kind across that in the local business which is the account retention issues that we had – have eaten into the base book of business coming in each month, and that is part of the revised outlook, it applies across everything, look, across both those channels. So in terms of the number of new additions to the self-serve, we had record new customer additions in self-serve in each one of the months in the first quarter, as we did almost every single month of the last year as well. So, we feel like there's still a lot of untapped opportunity for us to keep opening that up. In some ways, the pool that we're fishing from is sort of first and foremost is the claimed local businesses. And in the last 12 months, we've added 700,000 new or more than that claimed local businesses and that's a real strong pool of opportunity for us to continue to point our self-serve and our sales channel against.
Operator: Ladies and gentlemen, that concludes today's program. You may all disconnect. Everyone, have a great day.